Operator: Good morning, and welcome to the Third Quarter 2022 Pilgrim's Pride Earnings Conference Call and Webcast. [Operator Instructions] At the company's request, this call is being recorded. Please note that the slides referenced during today's call are available for download from the Investor Relations section of the company's website at www.pilgrim.com. [Operator Instruction] I would like to turn the conference over to Andy Rojeski, Head of Strategy, Investor Relations and Net Zero Programs Pilgrim's Pride. Please go ahead.
Andy Rojeski: Good morning, and thank you for joining us today as we review our operating and financial results for the third quarter ended on September 25, 2022. Yesterday afternoon, we issued a press release providing an overview of our financial performance for the quarter, including a reconciliation of any non-GAAP measures we may discuss. A copy of this release is available on our website at ir.pograms.com, along with the slides for reference. These items also have been filed at Form 8-K and are available online at sec.gov. Fabio Sandri, President and Chief Executive Officer; and Matt Galvanoni, Chief Financial Officer, will present on today's call. Before we begin our prepared remarks, I would like to remind everyone of our safe harbor disclaimer. Today's call may contain certain forward-looking statements that represent our outlook and current expectations as of the date of this release. Other additional factors not anticipated by management may cause actual results to differ materially from those projected in these forward-looking statements. Further information concerning these factors have been provided in today's press release, our Form 10-K and our regular filings with the SEC. I would like now to turn the call over to Fabio Sandri.
Fabio Sandri: Thank you, Andy. Good morning, everyone, and thank you for joining us today. For the third quarter of 2022, we reported net revenues of $4.47 billion, a 16.8% increase over the same quarter last year and our adjusted EBITDA of $460.5 million, up 32.7% versus Q3 of 2021. Our adjusted EBITDA margin was 10.3% compared to 9.1% in Q3 of last year. Our Q3 results continue to reflect the benefits of consistent execution of our strategies. Even with significant volatility of market fundamentals, our US business achieved solid results in the quarter with big bird deboning up seasonal and historical highs, while our key customer partnerships in case ready and small birds and our growth in prepared foods improve our bottom line. Our European business drove improvement despite severe inflationary pressure and prolonged challenges within the consumer environment. The team continued to accelerate operational improvements to help mitigate some of the inflationary headwinds in grains, utilities and other cost inputs. In addition, the team has announced a plan to optimize our manufacturing footprint to further enhance operational agility and flexibility. Equally important, the combined team launched a variety of new innovation and received a variety of accolades for its innovation as well as superior quality products. Our Mexico business was adversely impacted by extensive inflation, slowing demand. These challenges were amplified by issues with mortality in our live operations, mainly on our breeders. Taken together, the business experienced a decline in volumes, prices and profitability. The operations team implemented a significant change in our live operations footprint, and our sales teams are launching new innovation for diversification across sales channels and deeper expansion into branded offerings. We also published our 2021 sustainability report in August, which highlighted significant progress in our efforts to improve team member safety and well-being, reduced green emissions intensity and enhanced animal welfare. We have also approved significant investments in our plants to cultivate further momentum in our journey towards the net zero by 2040. Turning to feed ingredient. Recent USDA reports have lowered estimates for US corn and soybean production. The FDA's most recent forecast for corn shows a historical tight stocks-to-use ratio of 8.3% and ending stocks of 1.17 billion bushels, close to last year and to our drought-stricken crop. Soybean faces a similar dynamic as stocks are currently at 200 million bushels with a stocks-to-use ratio of 4.5%, a little lower than the last few years. With the expected tighter crop balance sheet, the focus is now on expected demand. Currently, a combination of factors, including a strong US dollar, logistical issues on the Mississippi River and steadily increasing exports from Ukraine, are reducing the export expectations and balancing the supply and demand in the United States. Factors such as continued Black Sea grain flows, South American planting and growing conditions and inflationary macro events on global import demand will be critical in providing direction for prices and US spring planting. As for US chicken supply, ready-to-cook production increased 2.8% relative to Q3 of last year, driven by additional head counts. Beginning in late Q2, the industry began to experience improved hatchability quarter-over-quarter and year-over-year. This trend continued throughout Q3, adding incremental chick placements and supporting already elevated egg fed, which have resulted in increased head count throughout the quarter. The clients from all-time highs emerging the jumbo cutout values beginning in June. Considering the recent growth in production, the USDA has revised the 2022 annual poultry production outlook up to 2.2% year-over-year, driven by growth in both Q3 and Q4. Capture. Hatchery utilization remained elevated, well above historical average and surpassed 95% in August alone. Furthermore, hens were kept in service longer as both overall age grew and slaughter levels declined relative to last year. These factors suggest chicken production deviated from typical seasonal reductions to realize fundamental poultry supply and demand throughout most of 2022 and potentially benefit from a tightening competing protein landscape in Q4 from reducing export production in beef and pork. However, the increased broiler production occurred prior to the industry experienced the expected beef and pork production declines, it applies pressure to the protein market and resulted in more precipitous seasonal price erosion for commodity chicken. Given these dynamics, chicken in cold storage increased 14% year-over-year. Nevertheless, it remains in line with historical norms as inventory is roughly 1% below the five-year average. We continue to monitor the potential impact of industry-specific risks, including avian influenza. Despite the recent uptick throughout The States, our locations have not experienced any significant disruption other than export risk. Moving forward, we will continue to vigorously enforce our biosecurity protocols and monitor trends to minimize potential risk and impact. On the US demand side, domestic chicken demand varied by channel throughout the third quarter relative to the same time last year. The retail channel continued to grow sales at a rapid rate. but volume sales were stable relative to prior year, despite very low promotional activities. Fresh chicken volumes were mostly flat throughout the quarter, highlighted by growing dark meat, which offset volume declines from higher-priced breast meat. The frozen food channel maintained growth in value-added items, both volumes and dollars, which highlights the increased consumer demand for value-added products, a trend we've seen since early 2020. Meanwhile, frozen commodity items have experienced dollar growth but at lower volume sales. The retail deli department posted slightly year-over-year sales gains with double-digit dollar growth sales as well. Overall trends for chicken consumption in the retail segment remained resilient as the share of spending has increased relative to other proteins. Both fresh and frozen chicken have increased bias relative to beef and pork despite retail pricing compression among the competing proteins. Typically, chicken has been more resilient to inflation and economic downturn in retail than other proteins. The food service channel grew volumes and dollar sales, but experienced varying results depending on subchannel. In food service distribution, volume demand was flat relative to Q3 2021, albeit at a high dollar sales value. However, the subchannel continues to serve a large base of operators relative to 2019 and 2020, which have supported the channel to offset declines in volume per operator. The non-commercial subchannel continues to post significant year-over-year gains as it moves along the recovery path to 2018 pre-COVID levels of sales. With the current supply and demand balance, opportunities for LTOs and other promotional activities to stimulate chicken demand at food service and retail. As for exports, margin trends appear favorable for the remainder of 2022 and early 2023. Although we continue to outpace the industry on broiler meat export growth, we did experience a slower period of demand in the last one third of Q3, while some destinations analyze the impact of currency exchange rates as well as the availability of remaining annual quarters. Currently, we are experiencing robust trade as demand across our markets is increasing weekly, especially West Africa and certain countries in the Persian Gulf. Demand in Southeast Asia is stable and expected to strengthen as buyers prepared to buy for January arrivals given new quarters. Logistics were stressed during the year, but we are seeing an increase in the availability of dray carriers and ocean carriers offering a great availability of reefer equipment in most all ports. Our ability to ship containers recently over the last week has increased significantly, and we expect this to continue. Given the increased US production as of late, we have additional opportunity to move this product into export markets at supportive pricing. The impacts of the continued presence of high path AI have been minimized by the efforts [ph] has done with most of our trading partners. With the exception of China, Taiwan and some minor markets, most all our trading partners are recognizing to the county level or even a zone around an infected farm. As for China, the biggest impact is relative to paws, and it's not a major export market for parts at this point. Because of our geographic diversity of cadence, we're still a bit shift from many of our facilities and enjoy historical high pricing due to the lack of available supply. For US business, we have a strong quarter, given our combined strategies of key customer focus, portfolio diversification across bird sizes and relentless pursuit of operational excellence. Our keys ready grew incrementally, while ensuring sufficient cost recovery to mitigate inflationary headwinds given the strength of key customer relationships. Since chicken remains relatively affordable compared to other proteins, the team continues to explore promotional activities to drive profitable growth with key customers across both branded and private label. The small bird category has also solid growth and continued cost recovery from inflation as demand from key customers in QSRs and retail continues to grow. Our big bird business improved quarterly profitably relative to last year, even as market fundamentals moderated throughout the period to historical levels. As we enter the fourth quarter, current market fundamentals represent near-term challenges. As such, we are continuing to cultivate key customer partnerships with selected QSRs and distributors and diversifying its portfolio. Plant staffing levels have improved in all regions and supported optimization of mix opportunities as they become available. Moving forward, we will continue to invest in automation, portioning and other projects to further improve our operational performance. In prepared, revenues increased 18% relative to prior year, driven by growth in Just BARE and Pilgrim's branded innovation and key customer partnerships throughout retail. Market share from our retail branded business nearly doubled from prior years due to further diversification of our offerings and increased distribution. Margins expanded from improved mix and continued cost recovery from inflationary headwinds. E-commerce posted strong sales gain relative to last year as sales increased over 65%. Given our holistic approach to drive conversion with both pure-play and omnichannels, e-commerce now accounts for over 20% of our branded volume. Moving to Europe. Throughout Q3, our business battled significant inflation as cost pressures continue to escalate from historical high feed, energy and labor. The retail environment became especially challenging as consumers became increasingly price-sensitive and transitioned to lower-priced tier values and economy offerings. These issues were further amplified as concerns rose regarding natural gas costs, CO2 availability, avian influenza, grain and the impact of the conflict between Russia and Ukraine. Given these issues, the team accelerated its operational excellence efforts to help mitigate cost escalation. We continue our work with the problems, which should enhance our staffing levels. We also prepared a series of countermeasures to lessen the impact of potential availability issues related to natural gas or CO2, including increased stocks, expanded network of suppliers and improving operating procedures. Recent announcements by the UK government to cap natural gas prices and the diversification of food production as a key priority may further aid these efforts. We also continue to monitor the impact of the avian influenza throughout the region and enhance our biosecurity protocols. Our operational excellence efforts extended beyond our production facilities and live operations. In September, we integrated Food Masters' information technology systems into the broader Pilgrim's organization. As a result, we now have a common back office platforms throughout our entire UK and European operations to manage the business, increasing our scale, flexibility and agility. Our diversified portfolio and select macro factors also moderated the impact of challenging market conditions. Although overall protein consumption was challenged, consumers transitioned to chicken and pork given their relative affordability and versatility. In addition, our offering in both branded and private label allowed our business to adjust to rapidly changing customer needs and consumer base. Live pork prices also improved in UK We also drove our key customer strategy. To that end, we conducted multiple sessions to identify ways to offset inflation headwinds and reduce time to recover costs from various inputs. We also recently announced efforts to optimize our manufacturing network. These challenges will absorb this capacity at legacy sites while improving operational flexibility to further cultivate our growth. As a result, we can support our collective efforts with key customers to increase distribution and launch innovative offerings. Our Mexico business faced difficult circumstances throughout the third quarter as sustained high inflation impacted overall demand and extended issues with bird mortality, increased production costs and impacted our volumes. As a result, Mexico experienced a decline in both revenue and profitability relative to previous quarter and previous year. To address these challenges, the team is focused on increasing key customer partnerships and diversification into strategic channels, notably retail, club and food service chains. Given this increased focus, the business can further mitigate the volatility in commodity, enhanced profitability for the overall business, depending on market conditions. Despite increased production costs, the team continued to support existing demand and service levels with our key customers using our diversified supply base. We continue to see progress in our fresh products and prepared foods under the leadership of the Pilgrim's and Del Dia brands. From an operations standpoint, the team implemented plans to adjust chicken production in areas with significant mortality issues, including accelerated relocation in affected areas. Even though short-term challenges exist, we remain confident in the long-term prospects of our business. We experienced significant sales growth in our branded offerings over the past year and launched a variety of innovation with leading retailers during the quarter. We also made significant progress in our efforts to drive sustainability throughout our organization. Over 370 team members or their children has signed up to earn free higher education as part of our Better Futures program. We are also partnering throughout our supply chain with growers and other providers to identify and prioritize ways to reduce greenhouse emissions. We continue to drive meaningful progress in safety as we have outpaced industry performance over the past three years. As a result, we are currently on track to achieve the majority of our 2030 sustainable initiatives. We are investing in our business to drive organic growth, especially with key customers, and we explore M&A opportunities to further diversify our portfolio across segments and geographies. We are continuing to embed automation throughout our production facilities, Taken together, those efforts further strengthen our foundation for profitable growth, creating a better future for our key members. With that, I would like to ask our CFO, Matt Galvanoni, to discuss our financial results.
Matt Galvanoni: Thanks, Fabio. For the third quarter of 2022, net revenues were $4.47 billion versus $3.83 billion a year ago, with adjusted EBITDA of $460.5 million and a margin of 10.3% compared to $346.9 million and a 9.1% margin in Q3 last year. We achieved $260.7 million of adjusted net income compared to $162.5 million in Q3 of 2021. Adjusted EBITDA in the US for Q3 came in at $418.3 million compared to $263 million a year ago. Adjusted EBITDA margins in Q3 were 14.7% compared to 10.7% a year ago. Both gross and operating margins were higher compared to 2021. As we entered Q3, we noted declines in market pricing from all-time highs in May. During the third quarter, market pricing continued to decline, however, remained above historical averages for most of the period. Although we noted consumer demand showed normal seasonal movements during the quarter, supply grew above expectations, particularly during the latter half of the period. For our European business, adjusted EBITDA margins came in at 4.0% for Q3 compared to 3.0% last year and 3.4% in the prior quarter. We've continued to see improvements in the profitability of this business due to the efforts of the team to both find operational efficiencies and to recover the inflationary impact of key input costs. Mexico lost $6.3 million in adjusted EBITDA in Q3 compared to making $56.3 million last year. However, Mexico has made $128.9 million in adjusted EBITDA or a 9.3% adjusted EBITDA margin for the nine months ended in September. Volumes in the quarter declined given weakened market fundamentals and margins decreased given issues with breeder mortality. As we have discussed and experienced in the past on multiple occasions, our Mexico results can be quite volatile quarter-to-quarter. All businesses across our geographies have been subject to continued inflation and significant market uncertainty. Although our strategy has mitigated these impacts, we must continue to monitor costs throughout our supply chain, drive operational efficiency efforts and implement cost recovery measures. During the quarter, we completed the $200 million share repurchase program announced in March. Also, we spent $146 million in CapEx during the quarter as we made progress on our previously announced organic growth investments and as we rebuild our hatchery in Mayfield, Kentucky following the tornado in December last year. We recognized $16.2 million of property insurance proceeds in the quarter as miscellaneous income as the accounting for these insurance proceeds is to recognize income at the time we received the commitment from the insurance carriers to fund the rebuild. We included this as a non-GAAP adjustment to our income statement as the cost of the actual rebuild are accounted for as CapEx as monies are spent. Our overall balance sheet and liquidity remains strong as we have over $1.6 billion in total cash and credit available. As of the end of Q3, our net debt totaled approximately $2.5 billion with a leverage ratio of 1.33x our last 12 months adjusted EBITDA, which is below our target ratio of 2X to 3X. Net interest expense for the quarter totaled $34 million. Our effective income tax rate year-to-date is 22.0%. We anticipate our full year effective tax rate to be between 22% and 23%. We will continue to follow our disciplined approach to capital allocation as we look to profitably grow the company, and we'll continue to align investment priorities with our overall strategies of portfolio diversification, focus on key customers, operational excellence and commitment to team member health and safety. Operator, this concludes our prepared remarks. Please open the call for questions.
Operator: [Operator Instruction] The first question comes from Ben Theurer with Barclays. Please go ahead.
Ben Theurer: So my first question is really just on the outlook. And if you could repeat or clarify the commentary when you said there are some short-term challenges, were you referencing short-term challenges on the big bird piece in particular? Or are you seeing short-term challenges also in some of the smaller bird categories, in the medium-sized categories? If you could differentiate or be a little more precise on what you're seeing in the market here, that would be nice.
Fabio Sandri: Of course, Ben. Thank you for the question. Yes, the short-term challenges that we are seeing are mainly on the commodity segment. I think as always, we need to remember that one of the most important aspects of our strategy, it is our diversification in terms of portfolio, not only across regions, but also across business. So in the US, we have exposure to the commodity segment, it is close to one third of our volume offerings. And on that segment, what we've been seeing is after very high prices during Q2 and Q3, we're seeing a significant pressure in terms of pricing for the Q4. On the other segments of retail and small birds, we are seeing very strong demand and continued strong repricing.
Ben Theurer: And then just on Mexico. I mean, obviously, it was one of those quarters and we all know those happen. But aside from the measures you can take short term, just to understand better, are the issues around the mortality is an industry-wide problem? Is it more of a Pilgrim-specific problem? And how long do you think it's going to take to get through those headwinds? I mean, obviously, inflation, that's tough to call. But particularly on the mortality side, when do you think you're going to be able to fix this?
Fabio Sandri: Sure, Ben. And I think this was a perfect storm for us in Q3 in Mexico. We have, of course, the market challenges, which we always remind everyone that Mexico is a very volatile economy. We're seeing some very strong pricing and very strong demand during Q1 and Q2. And with that, we saw some challenges in Q3, both from the demand aspect because consumers were facing high inflation or high pricing. But also from the supply because there was a lot of product coming out of US and even Brazil reaching the region during Q3 . And our operations were affected more than the -- we believe, the other companies. I think we had a lot of our breeders in some regions that were safe in the past. But during this avian influenza season, we saw some impact in those regions. And that's why we diversify all of our breeding operations throughout Mexico and even in the US to mitigate those impacts in the future. We expect most of the impact was already felt in Q3. There is some residual impact in Q4 and Q1 next year, but mostly the biggest impact was in Q3, as we were bringing eggs from all of our network, including Europe, US, to support our key customers in Mexico.
Operator: The next question is from Ben Bienvenu with Stephens. Please go ahead.
Ben Bienvenu: So I want to ask about kind of the dichotomy we have where, as you said, production has ramped up in the short term. But when we look at pullet placement data, it's down pretty substantially in the last several months. Do you think that's a curbing of forward production? Do you think it's a reaction to kind of normalizing hatch rates and hatchability? What do you think is going on there versus kind of what we're seeing in the short term with high egg sales?
Fabio Sandri: Of course, Ben. I just want to step back and remind where we were in the first half of 2022. So in the beginning of the year, we have this challenging hatchability rate and we have even lower staffing levels and the supply was very limited in terms of growth during those two quarters. I think during Q3, we started to see the improvement that we were expecting in the hatchability. And with a high number of eggs, we saw that increase in production that we mentioned of 2.8% during Q3 with some very high weeks during -- especially during September, and that posed a challenge on the commodity pricing. I think reflecting on the size of the flock that we have today and the better hatchability, the industry can improve its cost by reducing the number of layers because now we have all the that we need for the 2023 season. Given USDA expectations,
Ben Bienvenu: All right. Great. Very helpful. Shifting gears a little bit to Europe, I thought pretty impressive results in the quarter given some of the challenges that you cited. I know there's a continued plan of improvement as we move forward in that business. Can you give us a little bit more detail around some of the efficiency initiatives you have underway and how you think about kind of the tug-of-war between that dynamic and just broader inflation in the market pressing consumer demand?
Fabio Sandri: Safe. Yes. We saw in Europe a reaction from the consumer given all the inflation where there is a reduction in demand for all proteins. As I mentioned, chicken and pork tends to be more resilient to downturn. And with the increase in pricing, we're seeing flat levels of volume now in chicken, while in the red meat, especially on beef, we're seeing double-digit reduction. What we are doing to mitigate that is -- there is always a lag in terms of our pricing and inflation. As we were seeing continuous inflation in Europe and especially UK over the months, we are always lagging that pass through to our prices. I think as we are catch up now, as we change all of our contracts to include other inflationary items not only grain, that continues to be elevated, but utilities, labor, packaging and other inputs, And we are continuing to support our key customers with innovation in terms of creating new products and new offerings to support their growth as well as our growth. Of course, we're also optimizing our network. We recently announced the closure of two operating facilities that were small, and we are concentrating our operations in other facilities with continued to support for growth in the future. We also consolidated our back office in UK and Europe. We now have one platform with SAP, which will create not only a better cost for us on combined entity, but also more agility on supporting our key customers.
Operator: The next question is from Ken Zaslow with Bank of Montreal. Please go ahead.
Ken Zaslow: Can I talk about your US operations? Can you talk about if you took any extra pricing in tray pack or small bird? Or did you have a business -- a mix shift away from big bird? Or do you think that the outperformance was the stability in small bird and tray pack? How do you kind of frame it a little bit better, particularly given the pricing dynamic and a little bit of a volume decline that we saw? Just trying to kind of put it all together.
Fabio Sandri: Great point, Ken. As I mentioned, it's all about the portfolio that we have. As I remind everyone, the prices that we see, especially through the UB only influx in the commodity segment of the chicken industry. Our other business, retail, QSRs, small birds, does not follow those market pricing. Rather, it have their own pricing models, depending on the type of offering that we have. We have differentiated offerings, normal, organic offerings. And also the value creation that we do in terms of tailored products that we do for our key customers. I think one great example of value creation with our key customer strategy was the growth that we have in the fresh retail segment during this quarter. The industry, according to IRI data, was down 1% year-over-year in terms of volume with many chicken producers chasing the high-priced commodity segment, as we mentioned. We continue to support our key customers in this segment, and we increased our sales in that segment during Q3 by 5% with growth with our key customers of 9%. I think that shows the strength of our products and how we can be a differentiating factor for growth and profitability, both for us and our key customers. We are happy with the portfolio that we have, Ken. I think we have a very well balance between the small bird, the retail and the big bird. As we mentioned to all, we can capture the upside in the commodity market through our exposure to the big bird segment, but we demonstrated in previous quarters that we can protect the downside with the more resilient business on the other segments.
Ken Zaslow: Is there a downside margin that you think that you will not break through in this type of environment given -- is there a way to kind of frame it that you will -- if the margins on big bird is zero, will you guys still be at 5%, 6%? How do you frame that? And then my last question would be, do you think that Europe in 2023 can hit that 2%, 2.5% margin? And I'll leave it there, and I really appreciate your time.
Fabio Sandri: Sure, Ken. I think, of course, what -- how we track our business is against our competitors, right? We're doing good guidance. And what we want is to always be better than our industry and we've been at the top of our industry for some time right now. It is all about the portfolio. Of course, we'll always keep our key customers competitive. I think we can offer -- and this is something that has not occurred this year, especially on the retail. Because of the high pricing of the commodity segment. Normally, we will use some big birds to help promotional activity on the retail. And that has always been a great way of supporting the big bird business and a great way for our portfolio. That didn't happen this year. Again, because of the high prices of the commodity, it is making no economic sense to put that big bird meat in a train and sell to the retailers. As I mentioned, the price of the retailers never reach the high levels that we saw in the commodity segment. So also, the retailers were not featuring a lot of chicken, and that's why I think the volumes this quarter were flat for the industry. Again, for us, it was up 9% in our key customers compared to last year. I think that can start to happen right now. We're seeing a lot of progress and a lot of intentions on doing more promotional activity, which can support the growth in the retail segment and can use some big bird meat in a very profitable way.
Ken Zaslow: And then just on Europe?
Fabio Sandri: In Europe, I think we will continue to improve our results. I think we mentioned that we now are catching up to all the cost increases, and we are optimizing our network. I think the benefits of the network optimization and even the back office integration, we're going to be seeing more in the second quarter of next year, not in the first quarter of this year. But yes, we expect the margins there to increase to profitable levels and investment levels. We have great expectations for our European business, and we also expect the economy to start to be covering starting next year.
Operator: The next question is from Peter Galbo with Bank of America. Please go ahead.
Peter Galbo: Fabio, maybe if I can just ask on the go-forward pricing in US, I guess I'm a little confused. In retail and small bird key customer, you tend to lag on pricing right on the way up and on the way down. So just as we've seen the commodity big bird market really materially roll, why wouldn't those other channels follow suit, even if just directionally, whether that's a quarter from now, two quarters from now, at some point next year? But just it sounds like you're expecting that that pricing might hold into next year, and I'm just curious why it wouldn't follow the broader commodity market if it does stay at these more normalized levels.
Fabio Sandri: Sure, Peter. I think it's all about the portfolio of contracts that we have as well. Most of our contracts with the QSRs and retailers are not based on the commodity pricing. So we never experienced the high pricing that we saw in the commodity segment in the retail over Q1 and Q2 this year. So that's the main reason. Of course, we will keep our customers competitive with tailor-made offerings that are not considered commodity. What we can do and we will do is to, again, support promotional activity to help them sell more and extract more value with the big bird meat that we can trade back and sell to end users. That helps on the inflation side and that helps our key customers to grow their sales.
Peter Galbo: Alright. That's helpful. I mean I guess if I just think about dissecting your business right into the three parts, like it would imply that if the commodity market was slightly down in the third quarter, that retail and key customer had to be up again materially year-over- year pricing. So you would have started to see that pricing come through 3Q. So I guess that's maybe just some of the confusion. And then maybe just, Matt, just to clean up a couple of things. Did you guide interest expense for the rest of the year? And I think on SG&A this quarter, you were down a bit from where you've been running. So just is that third quarter SG&A number a decent run rate for 4Q and into next year?
Matt Galvanoni: Yes. Peter, it's Matt. I did not guide on net interest, but that $34 million that we had this quarter should be about where we look at next quarter, maybe slightly below that. And relative to SG&A, I think we may be slightly higher on an overall run rate. We had a couple of just somewhat minor credits that came through for an R&D tax credit and things of that nature that hits SG&A. But it shouldn't be too far off but maybe just slightly higher than we saw here in Q3.
Fabio Sandri: On the bottom line of the US, we also need to mention that we have a much better staffing level in Q3 than we had in Q1 and Q2, which allow us to operate better, capture better yields and also improve our mix. Once again, I think the differentiating part of our portfolio is to be able to support our key customers with differentiated products, and those products does not follow the commodity pricing, either up or down.
Operator: Next question is from Adam Samuelson with Goldman Sachs. Please go ahead.
Adam Samuelson: Maybe following up on some of the questions around kind of margin trajectory. And I guess thinking about the fourth quarter and the correction that you have seen in that big bird cutout with prices now approaching the five-year average, costs are well above the 5-year average given feed and broader inflation. So profitability kind of would now be tracking below those are moving to below those levels over time. How do I think about the profitability in big bird kind of stacked against the profitability in the in the retail and tray pack and small bird businesses? And does the US -- if pricing in big bird is at five-year averages and profitability kind of getting -- trending to below five-year averages, does your US business -- do the margins in the US business track to the five- year averages kind of above, in line, or better?
Fabio Sandri: Thanks, Adam. Yes. I think we're seeing a compression of margins on the big bird segment, starting late Q3 and starting in Q4. And I think that has been a fast reduction in terms of overall cutout given everything that we mentioned in terms of demand and supply. I think looking forward, I think we tend to look at a more long-term approach. And if you think about next year, I think all the drivers that we are seeing are leading to a rebound in those prices. If you look at the expectations of both beef and pork in supply for next year, this is expected to be down 4.7% in terms of domestic availability. Pork is going to be up just marginally. So we're seeing a lot of promotional activity being planned, and this is the time of the year where both retail and the foodservice industry start planning for the promotional activity for next year. And we are seeing a lot of interest in promotional activity for chicken next year because we will have both the availability and we will have versatility and the good pricing that we are seeing today. So we have great expectations for next year. Again, as for Q4, and we're seeing high volatility in this big bird segment, and it's exactly what we expected and it's exactly why we created the portfolio that we created, where we would capture the upside that we had in Q1 and Q2 and protect the downside that we are seeing in Q3 and Q4.
Adam Samuelson: Alright. And if I could just switch gears to Europe. And if I remember, you talked about more optimistically about margin prospects there into next year. Just how dependent on the consumer environment improving in the UK are you on that outlook? And specifically thinking on the Food Master side if that doesn't -- still faces a sluggish consumer environment. And I guess, a related question, it's a clarification. In the UK business in the quarter, the SG&A was down about $20 million relative to where it had been for the last three quarters since you bought Food Masters. And I just was -- want to clarify what's the right UK SG&A run rate because surprised to see it step down that much in that business.
Matt Galvanoni: Sure, Adam. It's Matt. Just a couple of comments on the SG&A, and we can talk offline. But don't forget the significant kind of FX impact because of the drop in the pound. So that was a big piece of that. And I have mentioned previously when Peter asked the question, there was an R&D tax credit, which is like $6 million to $7 million that hit as a credit in UK here this quarter. So those two were significant impacts to the SG&A, we'll call it, kind of run rate reduction.
Fabio Sandri: Yes. I think as always, we focus on what we can control. So starting what we can control, we just mentioned the network optimization, where we're taking some small plants, not very competitive and we're investing in some of our biggest plants. So we gain competitiveness there that we are supporting our key customers with both growth and mitigating the inflation. And we're also integrating the back office, and I think that it will help the SG&A for sure. It will help the agility of our business. In terms of how much we are dependent on the improvement of the economy, I think the portfolio of products that we have on the chicken side and on the pork side are really more resilient. And as we saw in the latest number, we were seeing that the consumer has trading down from high end, especially lamb and beef to pork and chicken. So we have a business that is more resilient. In terms of the brands, and especially on the Food Masters, we're seeing some strength in the brands. We continue to invest in innovation, and we continue to improve our products to make sure that we are top of mind with our consumers and with our key customers. We are seeing a trend down in terms of brands to private label in UK, but we also have a big operation in terms of partnership with key customers in terms of the private label.
Operator: This concludes the question-and-answer session. I would now like to turn the conference back over to Fabio Sandri for closing remarks.
Fabio Sandri: Thank you. We remain confident in the effectiveness in our strategies. The stability and strength of our key customer partnerships have enabled our combined business to navigate unprecedented inflation. Our diversified portfolio provides a broader set of offerings to meet evolving customer needs and customer preferences throughout all regions. In addition, our capital investments and network optimization efforts have increased our agility and flexibility, further enhancing our operational excellence. When these strategies are combined with a relentless focus on team member well-being and leveraging commitment to food safety and quality and our commitment to sustainability. We can navigate a challenging macro environment, mitigate volatile market fundamentals and strengthen our foundation for profitable growth, Thereby creating a better future for our team members and the communities we serve. Thank you for supporting our company.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.